Operator: Welcome to the BearingPoint first quarter 2008 earnings conference call. (Operator Instructions) I would now like to turn the call over to Denise Stone.
Denise Stone: With me this afternoon is Ed Harbach our Chief Executive Officer. We hope you had the chance to review the press release and Form 10-Q filed earlier this afternoon. Let me quickly outline the agenda for this afternoon’s call. Ed will review key highlights from our 2008 first quarter 10-Q. At the end of the call we will conduct a Q&A session to address any questions you may have. The information covered in today’s call contains forward-looking statements. Words such as may, will, could, should, anticipate, continue, expects, intends, plans, believes, in the company’s view and similar expressions are used to identify these forward-looking statements. These statements are only predictions and as such are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict and could materially and adversely affect the company’s financial condition and results of operations. Forward-looking statements are based on assumptions as to future events that may not prove to be accurate. Actual outcomes and results may differ materially from what is expressed or forecasted in these forward-looking statements. As a result, these statements speak only as of the date they are made and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company’s operations, financial condition and outlook are subject to various risks. For information regarding these risks, please refer to the risk factors included in item 1A, Risk Factors to the company’s annual report on Form 10-K for the year ending December 31, 2007, and in other reports and documents filed with the US Securities and Exchange Commission. These risks include but are not limited to the company’s ability to meet client demands; maintain billing and utilization rates and control costs; successfully implement it’s new North American financial system; significantly reduce selling, general and administrative expenses; minimize cost overruns relating to its services; meet expected near-term cash needs and generate sufficient positive cash flow from operating activities; manage legal liabilities and damage to our professional reputation from claims made against our work; post cash collateral to support obligations under its credit facility or surety bonds if so required; obtain new surety bonds, letters of credit or bank guarantees in support of client engagements; file timely SEC periodic reports and avoid potential delisting from the New York Stock Exchange. With that, it is now my pleasure to welcome, BearingPoint’s CEO, Ed Harbach.
Ed Harbach: Thank you for joining us this afternoon to review our first quarter 2008 results. Since December the BearingPoint team has worked tirelessly to improve our outstanding customer satisfaction record, strategically expand our business and lay the foundation for a solid future for our company. Our primary goal for 2008 continues to be to drive BearingPoint to profitability as soon as possible. This quarter was just another step in this journey. Our first quarter results in 2008 are meaningful in a number of important ways. In spite of a changing economy, we posted an operating profit for the first time in seven quarters and we posted our smallest net loss in nearly two years. Contributing to our success with our continuing ability to make significant SG&A improvements in line with our goals. With improvements in other critical metrics like utilization and bookings which increased year-over-year for the first time in five quarters, we have made significant strides in our turnaround underscoring that our efforts to increase operational profitability are working. Further, net revenue remained flat, signaling our ability to maintain our net revenue base even as we streamline our business and tighten our focus in targeted areas. Our first quarter was not without its challenges. We must continue to work on optimizing our financial services and commercial services segments. In addition, we have experienced somewhat higher attrition rates compared to the first quarter of ‘07. I believe these increases were due to anxieties caused from the losses we incurred during 2007 and a number of uncertainties we encountered at the end of ‘07. We remain optimistic and continue to strive to improve retention throughout 2008. We still have work to do, but the good news is our strategy is beginning to show results as evidenced by our progress this quarter. We continue our efforts to focus on delivering differentiated solutions in target markets where we can win and be profitable, motivate and develop our world-class employee base, improve our operational excellence and manage our costs. We believe our sustained efforts will lead to continued long-term improvement in our financial condition and overall growth. Before I turn to our first quarter results, you saw that we announced this afternoon the appointment of our new CFO, Eileen Kamerick, who joins us from Heidrick & Struggles where she was Chief Financial and Administrative Officer for the past several years. Prior to joining Heidrick, Eileen was EVP and CFO of Bcom3 Group, a media holding company with operations in more than 90 countries. She also held CFO positions at United Stationers and BP Amoco Americas. Eileen has built a career orchestrating financial strategies that have led to increased margins and profitability for both public and private companies. We are fortunate to have her join our team. Looking at Q1, our gross revenue for the first quarter 2008 was $830 million, a decrease of 4.2% from the first quarter of ‘07. Net revenue was $672 million, an increase of 0.2% or basically flat to the first quarter of ‘07. I am extremely proud of our ability to maintain net revenue in this challenging environment as we continue to reshape the business. Gross profit for the first quarter increased by $21 million or 15.7% to $153 million or 18.4% of gross revenue compared to $132 million and 15.2% of gross revenue in the same period last year. Drivers for this improvement were reduced professional compensation cost and reduced use of subcontractors. Now turning to SG&A, our expenses totaled $143 million in the first quarter, representing an overall decrease in expense of 19.5% from the first quarter of ‘07. This improvement was primarily due to much lower costs related to the closing of our financial statements and internal control remediation processes that we incurred in ‘07. Overall I believe we remain on track to deliver to our commitment to deliver SG&A costs in the range of $570 to $585 million in 2008 more in line with industry averages. Our operating income improved for the first time in seven quarters, growing to $10 million compared to an operating loss of $45 million in the first quarter of ‘07. This improvement was a result of reductions in other direct contract expenses, professional compensation and SG&A, more than offsetting decreases in revenue. Our net loss was the lowest it has been for seven quarters at $23 million or minus $0.10 per share compared to a net loss of $62 million or minus $0.29 per share in Q1 of ‘07. Bookings increased for the first quarter of 2008 totaling $745.4 million. This represents an increase of 5.1% year-over-year and 15.7% sequentially. Increases in new contract bookings in our Public Services, EMEA and Asia Pacific operating segments outpaced declines in new contract bookings in other North America and Latin America segments. Approximately half of our new contract bookings to growth were derived from international operating segments highlighting the value of a global business. So, good news is that we continue to win in the market despite the impact of the current economic situation and the geographies in which we operate. On the other hand, our results and performance are increasingly subject to the tides of US dollar against foreign currency particularly the Euro where we experienced 19.7% increase since January of ‘07. A rebounding dollar could significantly affect our international results. I am pleased to report that we are continuing to improve utilization globally and for the first quarter of 2008 utilization was 77.8% versus 76.6% in the first quarter of ‘07. We continue to monitor our progress toward our target of 80% utilization for the business. Headcount as of March 31 stands at approximately 16.4 thousand people compared to 17.5 thousand in March 31 of ‘07. This reflects the restructuring efforts we took in Q4 of ‘07 as well as more than two points increase in attrition rates year-over-year. Total voluntary annualized attrition of first quarter of ‘08 was 26.3% up from 23.7% in Q1 of ‘07. We realize that in a highly competitive consulting industry a critical factor in our success is our ability to attract and retain top talent. But in the end, the most important thing we can do to improve attrition is to complete the turnaround of our business We believe that delivering positive results is the best way to build confidence in our employees as our results continue to improve, I believe we will see our attrition rates drop. So I would like to thank our people who continue to deliver superior results for our clients. Our client satisfaction scores have increased three quarters in a row remind me everyday that the BearingPoint team understands that customer satisfaction is critical to our future success. Now, I would like to discuss our business unit and region results. In the first quarter our Public Services business, which represents about 41% of BearingPoint’s revenue, declined year-over-year by 6% in gross revenue, but increased its gross profit by 7.1% mostly due to a $7.7 million recorded as revenue in ‘08 for services rendered but unbilled in earlier periods and a reduction in subcontractor expenses which to remind you affects both our gross revenue and our ODCE lines but is generally neutral as to net revenue. Public Services bookings remained very strong in the first quarter, increasing by 12.7% over the first quarter of ’07. Public Services has been and remains the core of our business. We’ve built an enviable position with solid anchor clients, strong relationships and a well-defined and differentiated set of solutions. We are continuing to recognize solid revenue from our largest Federal government contractors including the US Navy, the Department of Health and Human Services where we have continued to expand our footprint in high growth target markets within the PS business which contributed to the improvement in profitability. In addition, in Q1 we were named as one of the three recipients of the five-year blanket purchase agreement with the Department of Homeland Security which is estimated to have a total potential value of approximately $180 million. We also won a large contract with the US Army Medical Research and Material Command which has a maximum first year value of $21.7 million and four annual options with a five-year ceiling of $115 million. In our state and local markets, revenue was down year-over-year. I personally believe that this is in part a timing issue in the lifecycle of some of our deals as our bookings are up year-over-year and the pipeline continues to be strong. We recently closed a new multimillion-dollar contract with the City of Toronto to provide 311 service. Revenue in our healthcare sector continued to decline during Q1, but we recently won contracts to provide disease management, PTSD and aid support to multiple organizations within the military health system. In addition, our payor practice is growing and we’re continuing to see strong demands from the Blues or the state level Blue Cross and Blue Shield organizations. Revenue in our Financial Services segment, which represents about 6% of our total revenue declined 31.6% primarily due to revenue decline in our global markets banking and services industry sectors. We are working hard to differentiate ourselves through solutions in this marketplace, but we still have work to do. We are still taking a number of proactive management actions to rightsize the Financial Services segment to make sure it is properly aligned with market demand. Moving to Commercial Services, despite significant revenue gains in our growing life sciences and energy practices, which represent about half of our Commercial Services business, overall revenues declined by 17.5% in the first quarter. Although results are mixed, we are happy to report that the overall segment bookings increased for the first time since Q2 of ‘07. Utilization is at its highest level in the last five quarters and total voluntary attrition continues to fall now to its lowest point 2006. We clearly have more work to do across Commercial Services, but we continue to execute against our strategy and we are focused on improving profitability. Let me give you a few examples of the demand we’re seeing in our energy practice. We have differentiated solutions that are recognized as best in class in the oil and gas industry, particularly to meet the growing demand related to oil sands exploration. In fact we have now completed four oil sands projects and won every bid we participated in during the last three years. We also won business this quarter with Total SA, the world’s fourth largest oil and gas company as well as Dyno Nobel Canada to assist with the rollout of the Dyno Nobel Global SAP template to their Canadian operations. Dyno Nobel is a world-class leader in commercial explosive manufacturing and distribution providing services to the mining and oil and gas industries. This is the second largest contract to date for our Canadian energy practice and our ninth consecutive success in competitive situations for SAP implementation projects in the Canadian energy market. In Q1 we completed a 17 month customer information upgrade project at a Florida based utility company, Jacksonville Electric Authority, the eighth largest community owned electrical utility in the United States. In our life science practice we are also seeing traction at a few different focus areas, particularly in the area of clinic supply chain and pharmaceuticals. We have had significant wins at three of our anchor and expansion accounts and continue to see traction with our information management, business transformation and cost take-out solutions. Now turning to our geographic segments outside of North America, as I stated during our February Investor Day, I firmly believe that having a global footprint is critical in today’s increasingly global economy, where the ability to leverage capabilities and best practices from different parts of the organization is an important differentiator. We continue to streamline the way we identify our most profitable, repeatable solutions and how we take these solutions to targeted segments, geographies and clients. During Q1 total FX impact on the consolidated results for our gross revenue was $40.4 million or about 4.7%, primarily driven by the increase in the Euro to the US dollar as well as increase in Latin America from the Brazilian real and the Columbia peso. Our European practice remains a key part of our portfolio and global strategy. Revenue in EMEA, which represents about 25% of our total revenues increased by 11.6% as a result of favorable impact of the strengthening of foreign currencies, particularly the Euro. The currency impact further enhanced solid revenue growth in Germany and Russia where demand for our services is increasing and dampened somewhat by the facts of declining revenue in Spain, the United Kingdom, Ireland, Sweden and Norway. Revenue also decreased in Spain as a result of our strategic decision to reduce our activities in this country. We have also experienced some lingering effects from our decision to sell and then not to sell, the EMEA practice to our EMEA managing directors, particularly in the Nordics. In addition we had a slow start to the year in France but it has since rebounded nicely and we believe that demand is back on track. Revenue in Asia Pacific grew by 7.3% as a result of the continued gradual strengthening of foreign currency against the US dollar. Revenue growth in Japan continued to be offset by lower revenue in Australia and New Zealand, resulting from the winding down or completion of several significant client engagements as well as the loss of key personnel in Australia. Gross profit improved dramatically by 78% in the quarter primarily due to increases in professional compensation, contract loss reserves and other contract expenses as a result of decreased subcontractor usage in Japan. BearingPoint remains a leading provider of J-SOX-related solutions in Japan and we have experienced increases in revenue due to these continued growth in systems implementation contracts and projects. We are leveraging our strong position to expand these client relationships into other repeatable solutions such as human capital management and privatizations. Our performance in Japan has been especially encouraging demonstrated by new wins with IHI Corporation and Toyota Tsusho, two large Japanese manufacturing companies and the East Japan Railway Company. We are particularly encouraged by increased bookings in Korea also. We won a large contract with the Korea East West Power Company. Adding more capability to our Asia Pacific practice, we recently hired David Hunter as our Chief Operating Officer. David is responsible for the daily operations at BearingPoint across geographies, operating segments and corporate services and he is also taking over leadership of our Asia Pacific practice. He resides in Sydney and will have ready and regular access to clients in the region. David worked at Accenture for more than 30 years and rose to the position of Global Senior Partner. He devoted much of his career to running and expanding their Asia Pacific business as well as overseeing the company’s government practice. In these roles he is responsible for business turnarounds resulting in significant growth and performance increases. We are excited to have him on board and we’ll leverage David’s expertise to drive additional improvements in this region. Now turning to our balance sheet and cash flow, our global cash and cash equivalents balance was $413 million as of March 31 of ‘08, representing an increase of $164.6 million from Q1 of ‘07 and $55.1 million decrease since December of ‘07. This decline was due mostly to the eight-day decrease in DSOs from 77 days at the end of December to 85 days at the end of March. That increase was in line with historical patterns and the first quarter DSOs are still six days better than Q1 of ‘07 and we’ve actually improved DSOs for 12 straight quarters on a year-over-year basis. Other significant drivers for cash usage in Q1 were cash tax payments, net loss and severance payments that were paid in the first quarter of ‘08 for expenses accrued in ‘07. We will focus closely on decreasing DSO during the second quarter, which will help improve the cash number. However, a concentration of large annual payments for insurance and bonuses will come due during the next several months, including bonus payments in EMEA totaling approximately $9 million in Q2 as well as additional bonus payments of $21 million that will be paid in Q3. The majority of these payments were accrued during ‘07. Cash from operations decreased by $90 million in December ‘07 to March ‘08, this decrease was due primarily to the increase in DSOs previously described approximately $37.6 million, the payment of taxes for certain of our operating entities of approximately $35.6 million and severance payments related to managed reductions in our workforce of $12.6 million, partially offset by the favorable impact of the strengthening of foreign currencies of $13.4 million. Free cash flow for the first quarter of 2008 and 2007 was negative $70.7 million and negative $149.2 million respectively. Net cash used in operating activities in the first quarters of ‘08 and ‘07 was negative $62.2 million and negative $136.8 million respectively. Purchases of property and equipment in the first quarter of ‘08 and ‘07 were $8.4 million and $12.3 million respectively. The year-over-year change in free cash flow for the first quarter of ‘08 was primarily attributable to positive improvements in our operating income. We have made strong progress in managing the factors to improve cash flow. For example, we reduced DSOs each and every quarter on a year-over-year basis for the past seven quarters which will be critical in generating positive free cash flow. Throughout 2008, we expect to continue to improve our quarterly DSO balances and increase our focus on improving operating margins, which we continue to target 10%. As we indicated in Investor Day we have conducted a detailed analysis of our current capital structure with our financial advisors. We analyzed alternative strategies intended to further improve that structure, our global cash balances and their accessibility. As a result of that assessment, we continue to believe that improving the cash generated by our business and servicing our debt payments as and when they become due from the cash remains our highest priority. Over the near term, we have considered the possibility of refinancing selected series of our convertible debt, raising increment equity capital and converting existing convertible debt to equity, however, given the state of our cash balances as of March 31 of ‘08 and our current and near term outlook for our business, we think it is premature to pursue steps as dramatic as these at this time. We will continue to monitor our cash balances and cash generated from operations throughout the current fiscal quarter and could reconsider these alternatives again in the light of current facts and circumstances. Over the longer term we are optimistic that the credit markets will rebound if we are able to pay all or a significant portion of the Series C put from then our existing cash balances. We believe that the relatively small amount of debt maturities in 2010 could give us a much stronger position in which to refinance either the senior facility or one of more series of our convertible bonds. With that I’d like to provide an update on our SOX and new systems initiatives. We continue to make significant progress on our SOX remediation efforts. We have built off the strong progress we made in fiscal ‘07 when we decreased the total material weaknesses by 91%. Based on this progress, we have continued to dedicate substantial resources toward the remediation initiatives and we expect to fully remediate the three remaining material weaknesses by year-end. We are confident that our efforts will achieve our goals for a clean Sarbanes-Oxley opinion for fiscal year of ‘08. At the same time, we are moving ahead with the transformation of our new financial systems and we remain on track to fully implement that system early next year. We have completed the design of this system and are currently in the process of completing its development. We have also conducted several mock data conversion in preparation for systems and integration testing. 2008 is a critical year for BearingPoint as we pivot towards profitability. As I’ve said before the best way to generate value is through aggressive, strategic and disciplined approach to managing our business fundamentals and delivering consistent, sustainable solutions to our clients worldwide. We have built a solid business strategy with our leaders executing on a plan across the company and across the world. We are making progress in our turnaround and continue to focus on three clear priorities. First, delivering differentiated solutions in focused areas across our global footprint. Second, further developing our world-class employee base, and third, achieving operational excellence and improved profitability. We have taken steps to exit unprofitable businesses and accounts. We took decisive workforce actions at the end of ‘07 to improve our cost structure and will reduce our SG&A costs in ‘08. We are mindful of the increasing economic uncertainty in ‘08 and therefore have placed significant emphasis on continuing our cost reduction and consolidation efforts, modeling our utilization rates and making conservative estimates of minimal to no revenue growth in 2008. With that, let’s take a minute and talk about what I see for the rest of the year. I’m extremely pleased about the year-over-year progress we have made. While our exact landing spot for 2008 is not yet clear, it is clear that our business results have improved significantly. I want to continue to set high goals for ourselves, but I also want to be conservative in managing your expectations. With respect to the guidance we put forth on Investor Day in February, I want you to know that as of today, I think the most likely outcome for the year is that we will deliver performance near the bottom end of the ranges we have previously named. Flat revenue growth, SG&A of $580 to $585 million, net loss of approximately $70 million, year-end cash and cash equivalents in the vicinity of $500 million and free cash flow of approximately $30 million. We have made a great deal of progress in refocusing our North American Commercial Services and Financial Services practices, but frankly more work needs to be done if we have a chance of meeting or exceeding these revised targets. Our 2008 results will depend in part on how quickly we can accelerate this turnaround in the remaining months of ‘08 and the continued success of our Public Services practice. In addition like most global companies, we will continue to remain subject to some risks related to the fate of the US dollar and global economic and business environments. Any sudden rebound in the US dollar and/or further deterioration of the economic and business environments could place more pressure on our ability to deliver these results. Lastly, I want to reiterate that I think it is imperative for the long-term health of our business that we take quick action to make our equity programs relevant again for our employees with all the shares that could be made available under our existing equity plans and programs. As we explore our options I think it’s very possible that we will choose to voluntarily accelerate a significant amount of non-cash stock compensation expense in ‘08. As much as I dislike pro forma metrics, I have to point out that my updated views today on our outlook for the year do not reflect any additional non-cash stock compensation expense we might incur should we choose to take action in the coming weeks or months. While there are still challenges to overcome, I am excited about the opportunities that will drive this company forward and create value. In the end, we continue to focus our energies towards what is most important, our business and our people and to hold ourselves accountable for results. I’m optimistic about the future and what it will bring to our employees, our shareholders and our customers. We truly appreciate your continued support. And now I’d be happy to take your questions.
Operator: (Operator Instructions)  Your first question comes from Tien-tsin Huang - JP Morgan.
Tien-tsin Huang: You talked about the importance of the Public Services segment. Can you talk about the key drivers that will allow you to hit your targets for that segment for the year?
Ed Harbach: I think the key for Public Services is just continuing to get better. Public Services is doing well. The bookings are strong. I think they’re going to increase revenue year-over-year. They’re increasing the margins. I went back to the Public Services MDs and said I want you to do better and so I know you’re increasing bookings, but I want you to grow above the market, that’s my management challenge for them, and I want you to increase your profitability, I want you to reduce your DSOs. Sorry for the long complicated answer and so they’re doing well but I want them to do even better and I think the key is if they can continue to drive bookings, they can continue to drive margins up and continue to reduce attrition, I think they’re going to be in good shape and they seem to be doing well so far.
Tien-tsin Huang: Any particular services or offerings that are critical to driving the results there.
Ed Harbach: If you look at Public Services, they are fairly diversified so maybe 70% of our business there, I’m just talking about Public Service North America is the United States government, 30% is non-government and entities, so we’re still doing a lot of good work in defense and that’s growing well for us. The civilian agencies, most of them I can’t even name, but we’re doing a lot of work with civilian, that’s growing. As I mentioned before on other calls, we’ve got a strong emerging markets practice and those are three going well. State and local government is still going strong. We’re watching it carefully given the economic issues but state and local government has a proportionately high percent of our pipeline activity today. We have a number of major deals in the pipeline and then we have our health care segment where it’s a little bit more mixed, but I always call the US Federal government being the core of that business and that’s really what we divide in defense and civilian there are doing well. Emerging markets are coming on strong, state and local government seems to be holding in there, and health care is contributing its piece.
Tien-tsin Huang: And then, outside of the Public Services segment, can you talk a little about what you’re hearing from clients, in terms of demand? Any pauses that you’ve seen in terms of signings or any delays given the economic.
Ed Harbach: The further I get away from Manhattan, which is where I am sitting today, the less noise I hear and so I was in Tokyo week before last and I asked several people, I met with several of our clients and I talked to our MDs and there seemed to be no impact in terms of economic activity. I was in China the week after and they just look at you as if you’re silly when you start talking about economic downturns or problems. Certainly, our Financial Services North America, we have seen a change in buying patterns and we’ve seen a certain reduction in buying activities. So they’re buying different things, let’s say cost savings versus growth initiatives, they’re buying a little bit less and they’re chunking it up into pieces a little bit more so I would see that. I would say in our Public Services practices I’ve seen absolutely no impact. Asia-Pacific I’ve seen no impact. EMEA has been fairly clean too. EMEA is a big group of different countries and different activities going on. But overall EMEA seems to be growing strong for us too. And so what we’re seeing is a Financial Services impact, a little bit impact on the Commercial side, no perceivable impact on the Public Services side. More US impact, less impact internationally when you go through that, but overall I would describe it as some economic headwind but not dramatic, but something we watch carefully obviously given what’s going on.
Operator: Your next question comes from George Price - Stifel Nicolaus.
George Price: I think you mentioned some revenue that was in public sector in the first quarter, but costs were taken in ‘07. Could you repeat that and what was the amount?
Ed Harbach: There was some PS revenue. We had done the work previously. We couldn’t book the work because we had to complete some documentation requirements with the US Government. It was $7.7 million. So the work was done previously to ‘08, but it was booked in first quarter of ‘08 once we finished the required documentation procedures.
George Price: And you made progress, certainly, in the first quarter but annual guidance is coming down understandably you’re noticing some deterioration in North America, less so outside. Can you just walk through what’s happened over the last several months that’s causing you to at least take the guidance up to the upper end or the lower end depending on how you’re looking at it?
Ed Harbach: In February, I had been in this job two months, had some visibility, now I’ve been in five months and I have some visibility. We’re not perfect yet in terms of providing guidance. I hope some day we get a little more stable in terms of I really do that, so I appreciate your patience with me. I think we’re just trying to reflect what we saw in first quarter with a little bit of conservatism. So we said net revenue flat to slightly up, now we’re saying we think it’s flat. I know net revenue, not gross, so you have to look at that. So net revenue is up 0.2% for the first quarter. When you elaborate or go on that a little bit more, that’s okay, pretty much consistent with what we said. We said that’s what’s going to be for the rest of the year. But we did have the first turn in quarter-over-quarter bookings compared to the previous year, certainly since I’ve been here. It was up 5% year-over-year and up 15% for the fourth quarter. So one quarter does not start a trend but net revenue flat seems conservative. If the bookings trend in Q1 can be repeated in Q2 and Q3, then I think we have a decent chance of coming with something better than flat. SG&A is easy we said $570, $585, if you take the $143 in the first quarter, sorry to do the math real quick, but you multiply by four, I think that’s $572 so $580 to $585 is a little bit conservative, but we are on the spend rate already for SG&A and if we repeat Q1 each of next three quarters we will be under the $580 to $585. The net income we said minus $70 to one. We lost $23 million bottom line in the first quarter. When you look at that, it’s dramatically better than first quarter of last year. Obviously if we’re going to get to a breakeven situation, which is my goal as soon as possible, we have to improve that in Q2 through Q4. And cash we said $500 to $570, we’re at $413. And so best guess today if you look at cash we’ll be right around that $500 number. So, that’s the best I can do in terms of giving you some more clarity around the guidance. But it’s not a change in demand. It’s not a change of what’s going on in the marketplace. It’s just my ability to see a little bit more clearly how we’re progressing through the year.
George Price: Particularly around the cash flow given that, you had that year-over-year performance, what is it about the cash flow that’s changing and maybe I could use that to segue into can you just go through the puts and takes? You talked about some in terms of payouts in second quarter and third quarter but maybe the puts and takes over the next couple of quarters.
Ed Harbach: I’ll give you the simple view and I’m going to go back a little bit historically and there’s a lot of puts and takes on top of this but I’ll give you way I look at and obviously if you want to drive down towards more detail we can do it. We entered Q4 at $467 million. We ended Q1 at $413 million. It’s about $54 million in difference. Our DSO, which historically always goes up, at least far back as I can look from Q4 to Q1 went from 77 to 85 days. So it went up by eight days. DSO was about a $7 million impact, so eight times seven is $56 million so we went down $54 million in cash, $56 million of that was due to seasonal adjustment in DSO. So the way I translate in that, there are a lot of puts and takes on top of that. Cash, outside of the DSO impact, was essentially flat from Q4 to Q1, then obviously as you look forward I’m saying we’re going to go from $413 to somewhere close to $500. A lot of that will come from DSO improvement. We historically will see DSO rise a little bit in the second quarter. It will start to come down in the third quarter and dramatically come down in the fourth quarter. So I don’t want to give you the detailed calculations because that’s going further than I want to go on guidance, but a big factor in terms of the cash improving from the $413 to the $500 is tied to the DSO reductions we’ve been driving over the last three years and we continue to believe we’re going to drive this year.
George Price: In terms of the bookings, you had some good growth there but is there currency benefit in the bookings and if so, how much was currency and how much was cost of currency?
Ed Harbach: There is currency in the bookings. Most of the numbers when I manage our EMEA specific practices, I always do it in constant currency. I usually don’t translate bookings, but bookings were probably impacted by about 4.7% in terms of that bookings number, so a little bit of tailwind from currency. It’s like the rest of our financial results, a little headwind from the economy, a little tailwind from currency, but the answer to your question is 4.7% and that’s a global number, obviously differs BU by BU.
George Price: Just to be clear that 4.7% is the quarter against the quarter-over-quarter or year-over-year?
Ed Harbach: It’s just the increase for the whole year.
Operator: Your next question comes from Edward Caso - Wachovia.
Edward Caso: I was looking for a little bit more clarification on your equity reset comment. I thought I heard comments about just accelerating vesting, but I assume a lot is still out of the money. Is there consideration in just doing some form of program of eliminating all the stuff that’s out there and resetting everybody around current prices? Is there some combination of events to do that or are you just trying to get everybody vested, but at higher levels?
Ed Harbach: No, I think it’s closer to former. But the program has not been finalized. So I’d say it’s in conceptual design, not detailed design. So the situation we’re in right now, and I’ll personalize it, is we have this large P&L charge, something like $17 million in the first quarter, and we have very little retentive value associated with what we call the performance stock units. Those were issued last February and so the situation where we have a large P&L expense and a little retentive value doesn’t work. The deal I had with several of you and at least certainly our major shareholders. They said they understood the problem, they understand the need to have equity and an ongoing equity program that’s retentive for our people, but they want us to start demonstrating some turnaround before we did something more proactive. So we’re in the process obviously, you have to make your own judgments about Q1, I think we’re heading down this plan and so we’re going to go into something where in effect we don’t want to increase the number of shares. We have a deal with our shareholders and we will not be dilutive in terms of doing that, but at some point we’ll try to acquire back those existing shares and reissue them in an ongoing program we have that supports our people going forward. So that’s in design. It has not been finalized yet, it’s not been presented to the Board, but I want to give you a heads-up because I believe it’s inevitable that we will change the situation we’re in and have an equity program that we think is fair, but also retentive.
Edward Caso: And you talked a lot about your global footprint, but I get the sense that that’s more on the front-end of the house. I’m curious what efforts you’ve made on the delivery side.
Ed Harbach: On the delivery side, we’re making some progress. I assume that’s an on shore, offshore question and I was, you’re right, when I talk about global, I was talking about the business units. On the delivery function we’re making some progress, but I think just to reset, sometimes people get confused when they listen to our numbers, because about half our business, I think it’s 48% of our business is public services, around the world. And most of those clients will not allow us to take the work offshore. Now that could be negative from a cost standpoint. It’s also very positive from a competitive standpoint, because it limits people’s ability to enter those sectors, so about half of our work isn’t subject to the on shore, offshore mix. The second thing going on in terms of that is that we have a big management consulting practice. Although that theoretically could be done offshore, most of that is not done offshore. So then you get down to the, I’ll call it the commercial SI business and we’re probably doing 20% of that offshore and we probably have 80% of our resources onshore. So depending on if you’re a half-full or half-empty person, we’re further along than people think. Sometimes they look at us and say you don’t have 40,000 people in Bangalore, you must have something wrong. We do have 20% of our commercial SI resources offshore, but we can obviously and our competitors drive much higher percent than that, we should drive higher percent and we will drive higher percents.
Edward Caso: I know you’re very involved in implementing packages for SAP and others. Have any of those software vendors increased the amount of services or integration work that they’re doing themselves at the expense of the service providers?
Ed Harbach: I have not seen any of our major partners take on more work themselves and I’ll call it try to squeeze the integrators out. We have good relationships with them. They have good relationships with many other people. But no, I have not seen any major integrator in effect competing against us and taking work away from us.
Edward Caso: Dramatic improvement in other direct sequentially, I was wondering if you could break the pieces down.
Ed Harbach: Well, other direct is really the subcontractors, and subcontractors and time expenses, but it’s all subs. So, the reason you always hear me talk about net revenue not gross revenue is because that’s how I manage the business and we’ve got a concentrated program underway to do more work ourselves. Maybe you think that’s selfish, but we make better margins on average on the work we do for ourselves than the work we subcontract to other people. So when you start to see gross revenue go down, you will automatically see other direct contract expenses go down because that’s the subcontractor portion of that. There’s a little bit of time and expense money in it, so those two are related. So my coaching, although from an SEC standpoint we report gross revenue, my coaching is to focus more on net revenue, but that’s what’s going on in that line item.
Edward Caso: Some color on the change in the CFO, some more color, like why?
Ed Harbach: Well, if you look at what’s going on, just back up a little bit. So I got the job in the first week of December and let’s just watch what I’ve been doing. I put a new head of Commercial Services in, I put a new head of Financial Services in, and I put a new head of Solutions and Global Development Centers. That all occurred in my second week on the job in December. In March, David Hunter, a new COO joined us and now in May, Eileen Kamerick, a new CFO is joining us. And so I don’t want to get into specifics of any one individual, because I could tell you this person, some jump, some get pushed. Some just decide they want to do something else. And if I comment on one, I’m probably leaving implications in terms of the other five or six. But I would just describe it as new CEO, and new CEO overall building his team. You’ve seen three or four changes, you’re going to probably see more changes coming in the future and obviously I’m going to be judged on how well I pick the team around me.
Operator: Your next question comes from Gregor Dannacher – CIBC World Markets.
Gregor Dannacher: Can you give us a little bit more detail regarding the decision on the capital structure currently? It sounds like it was more related to not having enough cash or wanting to keep existing cash at a higher level. Can you also explain does it have something to do as well with the decision you’re looking at for the equity reset some of those questions a couple questions ago?
Ed Harbach: We’ll probably have to go back and forth a couple times on this Gregor to make sure I’ve got your solution. So the capital structure is what the capital structure is. Sorry for starting with the obvious, but we’ve had some fairly significant losses in the past and we have a balance sheet that’s less than optimal and a significant amount of debt, over $900 million. So when you look at that, there are various alternatives in terms of how you deal with that. The first alternative is just start making money and pay off our debt from operations. So that’s our default. And that’s the way we’re going to go forward in terms of doing that. At some point in time if we could refinance existing debt in more favorable terms than we have today, of course we’d always do that and we’re looking at that. My best personal assessment, I’m open to any ideas you have, but my personal assessments in today’s marketplace, we’re not going to get a better deal than we have but we’ll continue to look at that. There are other more, I’ll call them Draconian alternatives debt for equity or head down that path or whatever you want to do and all of those have negative. Debt for equity severely dilutes our existing shareholders and if we can pay off our debt with our existing cash flow it’s something I would prefer not to do. So, you can get the list of probably seven or eight alternatives we can go through, we look at those, we look at those on a regular basis. But I would say Plan A, right now, is to generate positive cash flow from operations and reduce our debt over time in that environment. At some point in time if the environment is right where we could restructure it in a way that’s more positive for the company, we’d be glad to do that.
Gregor Dannacher: And is that having any benefit or any hindrances as far as getting additional business or anything else you’re hearing in the marketplace? I’m sure your competitors are saying, pull out the balance sheet, etc.
Ed Harbach: I wish I didn’t have them but I think I could read some of our competitor’s scripts verbatim if you want to ask, so we know how we’re competing against them. If you’re competing against us, most people will bring that up. And the first thing that’s going on, I mentioned before, the public services clients, it seems to be a non-issue. I talk to them on a repeated basis, they ask me a lot of questions, they comment, they just don’t bring it up in terms of that. If we go through and do the DCA audits and we get the thumbs up in terms of that, it’s either you’re on or you’re off. We’ve done good work for our public services clients and it seems to be a non-issue in terms of being able to do that work. Now, on the commercial side it’s a little mixed. Most of the clients, don’t bring it up if you do and on financial services clients it comes up more often and the usual way we deal with it as I get on an airplane and fly out and talk to the client. They usually want to see the CEO and look him in the eye and see if they believe you. That you’re going to be there and support them and so I probably get a few more airplane trips out of it than anything else. But I would say Public Services it seems to be no impact, Commercial Services is slight impact, I would give it a moderate impact in Financial Services, particularly Financial Services North America. It’s a very small impact when you go in Financial Services. I mentioned in Tokyo or if you went to Zurich, it would be a very small impact also. But it does impact our Financial Services business a little bit and the balance sheet is certainly used by our competitors, but not the major issue but certainly a significant issue.
Operator: Your next question comes from Julio Quinteros - Goldman Sachs.
Julio Quinteros: Can you give us some percentages or some sense on the public services versus the commercial bookings in the quarter?
Ed Harbach: So March 31, public service, I’m going to do North America we’re $243 million out of $745. Now, on the Asia and European Public Services, I don’t break that out by industry. I just do it by geography and I know we have a little bit of a mish-mash here. We do North America based on industry and we do the rest of the world based on geographies. So you could roughly do a third of it is Public Services North America.
Julio Quinteros: A third Public Services North America of the total, right?
Ed Harbach: Of the total in US dollars to be respectful to the previous questions.
Julio Quinteros: And then on the deferred revenue draw down for the quarter, is there something seasonal about the way the deferred revenues slows from Q4 to Q1, because it looked like it took a big drop this quarter and typically you want to see that building nor dropping.
Ed Harbach: There’s not a big trend on that. I would not put seasonality in that calculation. I think it moves, I think you have to adjust our financial results just like you do in Q-over-Q and we’d obviously like to smooth that out a little bit, but it just happens when it happens and I don’t think there’s any seasonality driving it.
Julio Quinteros: Any sense on how quickly you can actually start building that back, though.
Ed Harbach: I’m not sure. It’s a contract issue in terms of what’s going on with that. I personally prefer not to have to defer revenue. I’d like to do the work for a client and recognize it as we go and so it’s just a little bit of mix. The thing that probably drives it more than anything else is some of our management services work we are doing, application management, obviously you do the design/build run, you sell them together. That will tend to build it up. So the way I look at it is I’d rather get the revenue as we execute the job if I could do that. That seems to be the best way of matching revenue and expenses. But I’d also like to drive up our managed services or application management revenue so one would tend to drive me not to increase deferred revenue. The second one would tend to drive towards increasing deferred revenue.
Julio Quinteros: And then in the headcount growth side, when should we expect to actually start to see billable headcount growth?
Ed Harbach: I would think once we start expanding net revenue. So if you look at it today, we have net revenue that’s essentially flat, we have taken the headcount down and our utilization is running, 79% plus or minus 1% and I’ve said before optimal utilization is 80% so we are in balance in terms of supply and demand. So, back to the earlier comment about the bookings, if we can sustain bookings increases like we did in Q1 and we’ve got to prove that, as I mentioned, one quarter is not a trend. I don’t let you extrapolate when we have one bad quarter financially so you can’t let me extrapolate if we one good quarter turn on our bookings. But if we can do that, we had a book-to-bill, 1.1, 1.11 in this quarter. If we can continue a positive book-to-bill, that tells you that your revenue is going to increase and if your revenue is going to increase, it’s not directly attributable to headcount because what you should hold me accountable for is I should squeeze more revenue out of each person. But increasing revenue should lead to increasing headcount. But I’m going to go a little bit farther than your question went. What I promised you is our first goal this year is we’re going make money. And we’re going to try to do that in an environment where we can hold revenue but obviously we’re getting out of a lot of practices. And we’re restructuring some things we are doing and we are trying to hold revenue. Once we have finished that restructuring, I believe, if our strategy is successful, then we’re going to start growing revenue and the question for us then is how quickly we can do that. Once we start doing that, we want to grow headcount but want to grow headcount at a lower percent than we’re growing revenue, take part of that obviously as increased margins and part of that through headcount growth. But I want to be careful. Trying to drive headcount is not the answer. Trying to drive profitability is our goal.
Julio Quinteros: So focus more on the productivity per billable?
Ed Harbach: We’re focused on productivity. We are focused on one thing, which is making money for you.
Julio Quinteros: Would you mind just running back through the net revenue growth by geography excluding the currency benefits?
Ed Harbach: Can’t do that one off the tip of my tongue in terms of revenue growth. So what I would tell you is if you took the Asia Pacific and you took the EMEA revenue growth it’s significant but it’s really, really essentially driven by currency. So if you just go through, this is not exact and we can do the calculation and give you separately. But if you go through them and say in US dollars they both grew dramatically. If you wiped out the dollars and just said do it in constant currency which is what I would do, and that would require a longer definition than we have time for day, they’re not growing, they’re essentially flat and you break it down and there’s more things going on. Latin America is probably the only part geographically that’s growing significantly in the local currency. So, Latin America is way up, Asia Pacific, EMEA, just so-so, in terms of the constant currency growth, it’s just distorted a little bit by how well the currency has done against the US dollar.
Julio Quinteros: Then the 4.7% was for total net revenue that you mentioned?
Ed Harbach: Yes.
Operator: Your final question comes from Jamie Freidman - Susquehanna.
Jamie Freidman: Could you repeat some of the commentary you made with regard to the reduction in SG&A? I think you had described the financial component to that. If you could decompose that a little further and repeat what you had said previously I would appreciate it.
Ed Harbach: So, SG&A is a back office activity in terms of, I tend to refer to it as corporate services. Let me decompose real slightly. There’s two pieces of SG&A, there’s business unit SG&A and there’s corporate services SG&A. The business unit SG&A is essentially flat if do you that. That’s the people that are out selling general and administrative expenses buried in the BUs. The second part of SG&A is what I call corporate services, which is the back office. And so if you went Q1 of ‘07 to Q1 of ‘08, the back office we went from $160 million to $120 million, so that’s where the savings took place. And my overall estimation if you took our back office today, you reach your own conclusions. I believe we’re getting very close to industry norms. And if you took that back office or SG&A cost like I did before and multiply by four, we’re in the target range of what we’ve told you we’d been in for the year and we’re in a range that I believe is what most of our competitors are at in terms of doing that. If you decompose it, there’s savings across probably a dozen back office functions, but the CFO area is the biggest function. They went from $62 million to $34 million Q1 last year to Q1 this year. That was primarily driven by outside costs. We were trying to close multiple years at the same time last year. We were trying to get current. We were driving the SOX compliance activities and all that. So, as we’ve gotten current we have become more normal if I can use that term. Those costs have gone down dramatically, but we’ve also seen savings in the CIO organization, we’ve seen savings in real estate, we’ve seen savings in some HR functions and some other functions. So, overall I think the story I would give you is I believe our SG&A or certainly our corporate services cost which was a historical problem for us from a profitability standpoint have been fixed. There is still bit more work to do, but they’re essentially fixed and the challenges we have now is that we need to go out and improve our gross margins. And if we improve our gross margins then you are going to see our financial results improve dramatically.
Jamie Freidman: With regard to the DSO, the year-over-year reduction in DSO, with my calculation you went from a 99.6 to 88, the high 80s. Could you repeat the commentary you made with regard to the cash contribution per day and also if you could revisit what you’ve said in the past about a targeted DSO, and describe why it is that the DSOs are coming down at this stage?
Ed Harbach: Jamie, the overall, the number I gave you is about $7 million a day. So every day we reduce DSOs frees up about $7 million in cash. That’s how I did the eight times seven, got the $56 million in Q1. So the DSO trend for us, if you go take the last several years, it’s cyclical in quarters. Unlike a previous question we talked about deferred revenue, DSO is very cyclical. So we always go up in first quarter and it happens year-after-year, we typically will pop up a little bit more in the second quarter, then it will come down in third quarter. Down below either first or second and it will come dramatically down in fourth quarter and that sequence will follow itself but we have done that three years in a row in terms of driving it down. Our goal is to drive it down overall. People ask me all the time what number can you get to and I don’t have an aspirational target yet, but I know it’s much lower than 85 days or so and that’s my calculation for Q1. And there is no standard calculation, so everybody does it a little bit differently but the key is to get to quarter-over-quarter improvements. So I think we can continue to do that. I think we continue to do it next year or the year after. At some point in time we’ll hit some number and say we can’t get down any further but I think we can continue to do it. And the question I always get, why can’t you do it faster? And the answer is master services agreements. So we have an agreement with XYZ Company. We negotiated it two years ago and we agreed to 60-day terms or something along those lines. And so sometimes as we do renew new contracts, we can change the payment terms. More often as we change master services agreements, we can change those payment terms. So we need to do that to drive down DSOs. We also need to improve our execution and I think the quarter-over-quarter improvements that we’re showing are showing that occurring. And we believe we can continue to fund improvements in cash flow from improvements in DSO in the indefinite future.
Jamie Freidman: At what cash level do you think you need to continue to run the company and at what level can you potentially revisit the capital structure of the company?
Ed Harbach: I’ll start with the first one. It depends on where the cash is. It depends on whether you have a revolver in place or not, don’t have a revolver in place, but $200 million dollars is fine. So we’re at little over $4, right, $200 million dollars is fine in terms of running the business, could you run it $150? Maybe, might some day you need $210? Maybe, it just depends on situations around the specifics that timeframe. I don’t know at what point you end up doing something in terms of taking a look at the capital structure. I don’t think that’s a cash balance so much as it is market conditions and what else is going on in the marketplace. So overall I just think we’ll take a look. But we’ve got the cash we believe we need to do right now to run the business. I want to thank you for your time and I want to wrap this up. I know you have many questions, but I want to be respectful of time, so I want to thank you for joining us. We look forward to updating you on our progress in the near future. If you have any questions, I know I didn’t get to all your questions today, just call Denise Stone or Aaron Bedy at 908-607-2100 and they will be glad to support you the best they can. But again, thank you very much for taking the time and joining us on a Monday afternoon.